Tommy Oliver: Good morning. I am Tommy Oliver, Senior Vice President, Regulatory and External Affairs for RGC Resources, Inc. Thank you for joining us this morning as we discuss RGC Resources 2023 Quarter -- Fourth Quarter and Full-Year Results. I am joined this morning by Paul Nester, President and CEO of RGC Resources, and Tim Mulvaney, our Interim Chief Financial Officer and Treasurer. Before we get started, I want to review a few administrative items. First, we have muted all lines and asked that all participants remain muted. Second, the link to today's presentation is available on the investor and financial information page of our website at www.rgcresources.com. And lastly, at the conclusion of the presentation and our remarks, we will take questions. So slide one, this presentation contains forecasts and projections. Slide one has information about risks and uncertainty, including forward-looking statements that should be understood in the context of our public violence. The agenda is on slide two. We will review our quarterly and annual operational and financial results and discuss the outlook for fiscal 2024 with time allotted for questions at the end. So turning to slide three. Our main extensions for the year totaled 4 miles and we added over 550 new customers. Another outstanding year of customer growth and our seventh straight year of adding at least 550 new customers. I'd also like to highlight the work we have done with the Roanoke Redevelopment and Housing Authority. Since 2022, we have helped the housing authority modernize the natural gas facilities within three of its apartment complexes. After the authority renewed these facilities, Roanoke Gas assumed ownership and operational control. Not only did this add to our customer count and rate base, had provided the residents within those communities a new, safer, and more reliable gas system. The housing authority intends to renew two additional properties in the coming years. On the right side of the graph, our total customer count represents a steady increase in the total customer since 2020. The customer count for 2021 and 2022 were impacted by the state mandated service disinaction moratorium that occurred during parts of 2020 and 2021. At the end of fiscal 2023, our customer count was 62,740 customers. This figure doesn't really reflect true customer growth as some customers disconnect service during the spring and reconnect once cold weather sits in. To that end, our active customer count as of December 1 was $63,599. Transition over to slide four. 2023 was a busy year on the regulatory front. As we've discussed in prior earnings call, we received approval from the State Corporation Commission in January to rate base an RNG facility. This facility became operational, and we began billing customers in March of this year. We also filed for a new five-year SAVE plan. The SAVE plan was approved by the commission in August. The plan included a $50 million spending cap over the life of the plan with $8.55 million allowed for fiscal 2024. We began billing the new SAVE rate October 1, 2023. During the past year, we also had a rate case working its way through the SEC. We did reach a settlement with the SEC staff in September, in which we agreed to a revenue requirement increase of $7.45 million. The hearing examiner assigned to the case issued his report in November, accepting the stipulated revenue requirement and essentially all other terms and conditions of the stipulation. We expect a final order from the commission in the next 30 to 60 days. Lastly, we received an extension of our certificate to serve Franklin County. The original certificate issued in February of 2020 -- I'm sorry, 2019 contained a five-year sunset provision, which would have voided our certificate had we not begun serving customers within that five year window. The commission extended the sunset provisions for three years or to February of 2027. Slide five shows our delivered gas volumes, which were higher compared to last year, attributable to higher industrial usage. Slide six, shows for the fiscal year, gas volumes were down slightly. Residential and commercial volumes were down as a result of fewer heating degree days, offset by a small year-over-year industrial utilization increase. We're on slide seven. We executed our 2023 Roanoke Gas capital investment plan with over $25 million of investment in utility plant, which is down nominally from a year ago. A significant part of our investment for the year related to the RNG facility I discussed earlier. And it's worth noting that this capital is fully embedded in our current rates as a result of the rate case and the RNG rider. I'm now going to turn it over to Tim Mulvaney, our Interim CFO and Treasurer, who will discuss our financial results. Tim?
Tim Mulvaney: Thank you, Tommy. We are on slide eight now. For the fourth quarter, operating income increased $290,000 or 64% to $745,000, compared to the fourth quarter of 2022. The increase was primarily driven by interim base rates implemented on January 1. Interest expense, up $242,000 continues to be pressured due to the higher interest rate environment, which is impacting our floating rate debt supporting the investment in the Mountain Valley pipeline. Our net income for the quarter was just over $1 million, compared to an $11 million loss due to a $15 million pre-tax impairment taken on our investment in MVP in the fourth quarter last year. The fourth quarter of this year included $1.5 million of non-cash AFUDC pretax, which resulted from our investment in the MVP resuming construction. Moving on to slide nine, to aid in the comparison of our fiscal year results, excluding impairments recorded on our MVP investment in 2022, we have represented our financial results for the quarter and the year on an underlying basis on slide nine. I will now turn the presentation over to Paul Nester, RGC Resources' President and CEO for an outlook on 2024. Paul?
Paul Nester: Thank you, Tim, and good morning. We are on slide 10, we're going to take a few minutes and review the 2024 Roanoke Gas capital spending forecast. We're also going to try to provide an update on the Mountain Valley pipeline, and then we'll share our initial guidance for our 2024 earnings per share. Moving on to slide 11, we're projecting a total spend on utility plant for fiscal year 2024 of approximately $21 million, this is down from the 2023 capital spending, primarily due to the $4.1 million we invested in the RNG facility in 2023. But this is a resumption of a more normal level of annual capital spending in the utility. I would like to take one minute and just comment on the customer growth numbers that Tommy shared with us a few moments ago. And in particular, the 63,500 customers, that is certainly an all-time high for our company. And I want to certainly thank our customer experience and our operations personnel for getting well over 1,500 customers turned on since October 1. For a small company, like ours, it's a noteworthy achievement due to a lot of dedication and hard work by many folks. So thank you. Moving on to slide 12, many of you may have seen the Equitrans 8-K that was filed last week where they provided an update on some of the statistics related to Mountain Valley construction. It's a good update. We'll try to interpret a little bit of that for you. Of the remaining scope work when construction resumed this summer, approximately 50% of the upland pipe, 65% of the tie end, 75% of the crossing, and over or approximately 104 miles of hydrostatic testing have occurred. So again, the progress has been, very good. We've had a nice dry fall here, which has been conducive to construction and good progress. The total budget for the project remains $7.2 billion with projected completion in the Q1 of calendar 2024. I would like to also mention that Roanoke Gas has resumed construction on both our Lafayette and Summit View interconnects. You may remember that Roanoke Gas has two taps off the Mountain Valley to bring the much needed supply of natural gas to this region, including at the Summit View Business Park in Franklin County, which will be Franklin County's first opportunity for natural gas. We're on track for both stations to be complete commensurate with the Mountain Valley construction being completed and the Mountain Valley flowing gas. We're really excited to finally see the Mountain Valley, be completed. And we're really excited about having [Technical Difficulty] basin natural gas flowing into the Roanoke Valley. So I mean, the MVP schedule of first quarter calendar 2024 stays on track, and we believe that to be the case right now. We expect that our RGC Midstream subsidiary to essentially have a breakeven fiscal 2024 from an earnings standpoint. Moving on to slide 13, with our earnings per share guidance. Again, we had a tremendous 2023. We filed our 10-K this past Friday. It provides many of the details of 2023. And again, I would just like to thank our customers and our employees for an outstanding year. If you are on these calls, as we went through 2023, we did not expect to hit a $1.14 Earnings per share, but through a lot of hard work, we were able to achieve that. Thank you. 2024, we do believe Roanoke Gas is going to have another solid year. Tim mentioned inflationary pressures and the rising interest rate environment. That is still very real and we do expect that to challenge 2024 earnings in the Roanoke Gas utility. Our range, as you can see, we think right now we can be in the $1.10, to hopefully $1.16 again with a breakeven RGC midstream. That concludes our prepared remarks. If you have questions, please unmute your line. [Operator Instructions]
Q - Michael Gaugler: Hi, good morning, everyone.
Paul Nester: Good morning, Michael. How are you?
Michael Gaugler: I'm good. How about yourself?
Paul Nester: We're very good. Thank you.
Michael Gaugler: You're getting some good weather, this quarter?
Paul Nester: We are. We've had incredible weather. It's not been great, heating load weather, if you will, but it's been great construction weather. Then very dry, which again, ordinarily, you don't care for, but we're happy about that this year.
Michael Gaugler: Okay. The -- you would mention the Franklin County tie-in, and the business park there. I think that's what we toured the last time I was down. Just wondering, are there any tenants or anybody waiting in Franklin County for the gas?
Paul Nester: So we can't comment on very specific opportunities from an economic development standpoint, but there is a lot of potential and excitement, Michael. In fact, Tommy and Jim Shockley and are meeting this afternoon in Franklin County with the -- some of the folks down there to discuss some of these matters. So there's a lot -- again, to be excited about. And all we have natural gas in that park is a wonderful opportunity.
Michael Gaugler: Okay. And then I would assume, earnings from -- we'll say cash flow from Mountain Valley. That'll be used to just reduce debt?
Paul Nester: Yes, Tim. I think we've talked a little bit about cash flow in the 10-K. Would you like to Comment on that to Michael.
Tim Mulvaney: So we have certain pieces of our Mountain Valley debt that are coming due in 2024 and we're working with banks to replace that in the short-term. But as the Mountain Valley pipeline does begin to flow, there is -- there are provisions in the agreement that they will pass excess cash flow as defined in those agreements onto the company and we’d expect to use those.
Michael Gaugler: And then last question. Any idea, if you had to take a guess, Paul, what month you could actually start seeing some of that gas flow into Roanoke?
Paul Nester: Yeah. I think the public guidance from the JV, Michael, is still calendar first quarter, and they haven't gotten more precise than that. As you know, in other words, there's not a month or a day at this point. And a lot of it, of course, those depend on the ability to, do field construction over the coming days weeks as we are in the winter time, with some shorter days. So we are still planning and operationally planning for first quarter 2024. So hypothetically, if that were March 1, we'll be ready. If that's March 31, we will be ready as Roanoke Gas to receive that gas.
Michael Gaugler: Okay. And I was just wondering if that lower cost gas could be flowing in January or February when you need it the most?
Paul Nester: Yeah. It's a great question. We're not making plans for January at this point in time. That would be wonderful. But we don't know that that's maybe physically possible, so…
Michael Gaugler: Okay. Well, I guess we'll wait for the next Equitrans 8-K.
Paul Nester: Yes, yes. Yeah, that will hopefully be informational in that regard. But, again, we can see it coming from here. That's the good news.
Michael Gaugler: Good. Alright, gentlemen. Congrats on a great year. Really was.
Paul Nester: Thank you, Michael.
Tim Mulvaney: Thanks, Michael.
Paul Nester: Do we have any other questions from the audience? [Operator Instructions] Any other questions? We'll pause for just a few seconds in case someone would like to ask a question. Okay, well if there are no more questions today, this does conclude our fourth quarter and fiscal year 2023 earnings call. Thank you so much for joining us, and we look forward to speaking with you again in February to review the first quarter of 2024. We certainly wish you and families a merry Christmas and a Happy New Year. Thank you.